Operator: Good morning and welcome to the East West Bancorp 2019 second quarter conference call. All participants during today's call be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, this event is being recorded. At this time, I would like to turn the conference over to Julianna Balicka, Director of Strategy and Corporate Development. Please go ahead.
Julianna Balicka: Thank you Chris. Good morning and thank you everyone for joining us to review the financial results of East West Bancorp for the second quarter of 2019. With me on this conference call are Dominic Ng, our Chairman and Chief Executive Officer and Irene Oh, our Chief Financial Officer. We would like to caution you that during the course of the call, management may make projections or other forward-looking statements regarding events or future financial performance of the company within the meaning of the Safe Harbor provision of the Securities Litigation Reform Act of 1995. These forward-looking statements may differ materially from the actual results due to a number of risks and uncertainties. For a more detailed description of risk factors that could affect the company's operating results, please refer to our filings with the Securities and Exchange Commission, including our annual report on Form 10-K for the year ended December 31, 2018. In addition, some of the numbers referenced on this call pertain to adjusted numbers. Please refer to our second quarter earnings release for the reconciliation of GAAP to non-GAAP financial measures. During the course of this call, we will be referencing a slide deck that is available as part of the webcast and on the Investor Relations site. As a reminder, today's call is being recorded and will also be available in replay format on our Investor Relations website. I will now turn the call over to Dominic.
Dominic Ng: Thank you Julianna. Good morning and thank you everyone for joining us for our second quarter 2019 earnings call. I will begin our discussion with a summary of results on slide three. This morning, we reported second quarter 2019 net income of $150 million or $1.03 per share compared to first quarter net income of $164 million and $1.12 per share. During the second quarter, we recorded $30 million of additional tax expense to reverse certain previously claimed tax credits related to DC Solar. The impact of this expense per share was $0.21. Adjusted for this expense, second quarter net income was $180.5 million or $1.24 per share, an increase of 7% from the adjusted earnings per share of $1.16 in the first quarter of 2019 and up 5% year-over-year. East West achieved record operating revenues of $420 million in the second quarter, an increase of 4% from $405 million in the first quarter and an increase of 8% from $390 million in the second quarter of 2018. Quarter-over-quarter, net interest income grew by 1% and we also saw substantial fee income growth of 25%, reflecting robust customer demand for our interest rate swap products in response to the inverted yield curve. Year-over-year, net interest income grew by 8% and fee income grew by 9%. The growth in revenue, combined with strong expense control, drove improvement in our operating efficiency and an expansion of our pretax, pre-provision profitability to 2.51% in the second quarter of 2019, up by 8 basis points linked quarter. Additionally, quarter-over-quarter, the non-performing assets ratio decreased to 28 basis points of total assets and net charge-off decreased to 9 basis points of average loans while allowances for loan losses coverage was essentially stable at 0.98% of loans. Overall, we are pleased with our operating performance this quarter. Turning to slide four. We had another quarter of solid loan growth. As of June 30, 2019, total loans reached a record $33.7 billion, growing by $871 million or 11% linked quarter annualized from March 31, 2019 and growing by 12% year-over-year. In the second quarter, average loans of $33 billion grew by 7% linked quarter annualized. Growth was well diversified across our major commercial and consumer loan portfolios. Our commercial real estate loans increased by $227 million or 7% annualized, followed by consumer which were up by $182 million or 9% annualized. Consumer loan growth was predominantly from single-family mortgages. Our average C&I loans increased by $157 million or 5% annualized. Average loan yields in the second quarter declined by 2 basis points linked quarter to 5.28%. Excluding accretion income, second quarter 2019 adjusted average loan yields declined by 1 basis point to 5.26%, reflecting an unchanged Fed fund rate and the decline in LIBOR rates. On slide five, you can see that total deposit grew to a record $36.5 billion as of June 30, 2019, an increase of $204 million or 2% annualized from March 31, 2019 and up by 3.7 billion or 11% year-over-year. As of June 30, 2019, our loan-to-deposit ratio was 92.5% and it was 93.4% based on average balances during the quarter. As we have previously stated, we are comfortable operating with a loan-to-deposit ratio in the range of 90% to 95%, which is where we are currently at. Our cost of deposit increased by 4 basis points linked quarter to 1.11%. This is a deceleration from recent trends and reflects proactive management of both deposit pricing and our success in growing lower cost deposits. For comparison, for the preceding four quarters, the linked quarter increase in the cost of deposits had ranged from 12 to 17 basis points. In the second quarter, average deposit of $35.3 billion grew by 5% linked quarter annualized, primarily from an increase in time and non-interest-bearing demand deposits, partially offset by a decrease in money market accounts. I am particularly pleased with the growth in non-interest-bearing demand deposit this quarter despite a very competitive environment. One of the highlights of the second quarter was a successful demand deposit campaign in our branch network geared towards small business owners. The small business deposit campaign includes cash management products and resonates very well with our customers. We have been able to generate new, granular relationships whose growth and expansion we can support for many years to come. And that, in aggregate, already have a meaningful impact to the bank. Turning to slide six. Our second quarter return on assets was 1.45% and return on equity was 12.9%. Excluding the impact of the reversal of previously claimed tax credits, our operating return on assets was 1.74% and our operating return on equity was 15.5%. Our operating tangible return on equity was 17.4% this quarter. Despite macroeconomic and geopolitical volatility, East West continues to execute. Over the past 12 months, tariffs and trade tensions have ratchet up. Yet, East West has delivered attractive loan and deposit growth as well as attractive bottom line profitability. Year-over-year, our loans have grown by 12% and our deposits have grown by 11%. As you can see from the chart on slide six, our profitability metrics are consistently attractive. The five-quarter range of our reported tangible return of equity has been 14.5% to 19.5%; and excluding nonoperating items, our operating tangible return on equity has ranged from 17% to 19.5% for the past five quarters. An important factor in our ability to maintain consistently strong performance is the diversification of our balance sheet among various commercial and consumer business lines as well as the diversity of our customer base in our target markets. U.S.-China relationship entered a new normal that is more contentious and competitive. However, inter-relationship between the two economies is becoming more balanced. Most recently, China has made some changes to open up this economy to foreign direct investments and improve intellectual property protections. Constructive policy changes such as these open up healthy new growth opportunities for U.S. cross-border business. Against this backdrop, East West can play a more significant role as the financial bridge between the two largest economies in the world, providing our clients with expertise to understand and navigate the changing U.S.-China dynamic. Our knowledge combined with our cross-border banking solutions give us a differentiated approach to winning customers. And I am confident that our teams will continue to generate sustainable core banking business in this current setting. And now, I would turn the call over to Irene for a more detailed discussion of our income statement and outlook.
Irene Oh: Thank you Dominic. On page seven, we have a slide that shows a summary income statement and a snapshot of notable items during the quarter. This quarter, we incurred $30 million additional income tax expense for the reversal of previously claimed tax credits related to DC Solar. This impacted our EPS by $0.21 per share. Our adjusted EPS this quarter were $1.24 compared to $1.16 in the first quarter of 2019, an increase of 7%. We reported an effective tax rate of 33% for the second quarter. Excluding the tax credit reversal, our tax expense would have been $43 million and effective tax rate would have been 19%. For the full year, we project that our effective tax rate will be approximately 20%, including the impact of the $30 million tax credit reversal from this quarter or approximately 15% excluding the tax credit reversal. The full year tax rate assumes tax credit investments of $90 million in 2019. As of June 30, we had closed on $17 million of these investments. Moving on to slide eight. Second quarter net interest income of $367 million increased by 1% linked quarter and grew by 8% year-over-year. Second quarter net interest income growth was largely due to loan growth, partially offset by the decrease in the net interest margin. The second quarter GAAP net interest margin was 3.73% and the adjusted NIM, excluding the impact of accretion, was 3.71%. Both margins contracted by six basis points linked quarter. The impact of accretion income continues to be nominal. It was $1.7 million in the second quarter, compared to $2.2 million the first quarter or two basis points of impact to the NIM. The six basis points quarter-over-quarter change in our net interest margin breaks down as follows. A one basis point decrease from lower loan yields, including fees and discounts, a one basis point decrease from lower yields on other earning assets, a two basis point decrease from higher funding cost and a two basis point decrease from the funding mix shift. As Dominic mentioned in his remarks, we are making good progress on controlling our deposit costs. This takes time but results were already evident in the second quarter. As of June 30, 2019, the end of period cost of our deposits was 1.11%, down by one basis point from 1.12% as of March 31. The end of period cost of our interest-bearing deposits was 1.57% as of June 30, up by only two basis points from 1.55% as of March 31. We expect to improve deposit cost from here irrespective of any actions by the Federal Reserve. Of course, cuts of the fed funds rate will also be helpful in reducing funding and deposit costs further. Cycle-to-date, since the Federal Reserve started increasing the fed funds rate in December 2015, we had an implied beta of 56% on our loan yields, excluding accretion and an implied beta of 37% on our cost of total deposits, again, relative to the change in average fed funds rate. Please note, we added slide nine to our earnings deck which has been a part of our investor deck. The slide details our loan portfolio by the underlying interest rate indices. You can see that 31% of the loan portfolio is tied to prime, 27% is tied to the one-month LIBOR and 5% is tied to the three-month LIBOR. This has continued to contribute to the stability of our loan yields this quarter. For context, our weighted average loan yield was 5.27% for the month of June, compared to 5.25% for the month of March, or 5.20% for the month of December. Given the robust pace of our loan growth and the asset sensitivity of our balance sheet, we have been moderating our overall asset sensitivity. The percentage of fixed-rate loans and hybrid loans in fixed rate periods is increasing as a proportion of our total portfolio, up to 30% as of June 30, 2019 compared to 25% a year ago. This change largely reflects success in the origination of our 30-year fixed rate single-family mortgage loan product that we began to offer in August of last year. Similar to many of our single-family residential loan products, this is also a reduced documentation loan with a high down payment and low loan to value requirement. It has been well received by our customers and today is 50% of our new SFR originations. Current pricing for this 30-year loan product is 5.25% with no points. At the beginning of 2019, we reintroduced floors at 15 basis points be flow to starting rate for renewed and renewing C&I loans. And we are more comfortable with originating fixed rate CRE loans for smaller balances, although customer preference during the second quarter has favored the variable rate option due to the shape of the rate curve. In addition, we have been managing our securities portfolio to maintain an essentially stable yield by replacing maturating cash flows with investments with both slightly higher yields and longer durations. Now turning to slide 10. Total non-interest income in the second quarter was $53 million and fee income and net gains on sales of loans totaled $49 million, a 25% increase from $39 million in the first quarter of 2019. As Dominic discussed, the fee income growth was primarily due to an increase in interest rate contract revenue which grew $7 million from last quarter. This business line is a core segment of our income and we are pleased with its performance as a counterweight to interest income pressures in a decreasing interest rate environment. Foreign exchange income increased by $2 million linked quarter, largely reflecting favorable evaluation of foreign currency denominated balance sheet items. The foreign exchange customer revenue was also up quarter-over-quarter. Lending fees increased by $1 million reflecting broad-based growth in ancillary loan fees and related income and letters of credit issuance fees, including trade finance fees and credit enhancement fees. Moving to slide 11. Second quarter non-interest expense was $178 million, down 5% linked quarter due to a decrease in the amortization of tax credits and other investments. Our adjusted non-interest expense, excluding amortization of tax credit investments and core deposit intangibles was $160 million, down by 1% linked quarter. The largest decline was in compensation and employee benefits, which are generally seasonally higher in the first quarter. With the strong fee income growth this quarter, our second quarter adjusted efficiency ratio was 38% compared to 39.8% in the first quarter. Over the past five quarters, our adjusted efficiency ratio has been stable, ranging from 37.9% to 39.9%. Our second quarter 2019 pretax, pre-provision income of $260 million increased 7% quarter-over-quarter and our second quarter pretax, pre-provision profitability ratio was 2.51%, compared to 2.43% from the first quarter. Over the past five quarters, our pretax, pre-provision profitability ratio has ranged from 2.43% to 2.51%. In slide 12 of the presentation, we detail out critical asset quality metrics. Allowance coverage of loans continues to be stable and we had linked quarter decreases in both non-performing assets and net charge-offs. Our allowance for loan losses totaled $331 million as of June 30, or 98 basis points of loans held for investment compared to 97 basis points as of March 31 and 96 basis points as of December 31, 2018. Non-performing assets as of June 30, 2019 were $119 million or 28 basis points of total assets compared to $138 million or 33 basis points of total assets at March 31 and 27 basis points of total assets a year ago. The linked quarter decline in non-performing assets largely reflects a decrease in non-accrual commercial loans due to resolutions and payoffs during the second quarter. Our NPAs continue to be at historically low levels. For the second quarter of 2019, our net charge-offs were $8 million or annualized nine basis points of average loans and we recorded provision for credit losses of $19 million. This is a decrease from net charge-offs of $14 million or 18 basis points of average loans and a provision for credit losses of $23 million in the first quarter of 2019. The annualized net charge-off ratio was 14 basis points of average loans in the year ago quarter. Moving to capital ratios on slide 13. East West capital ratios remained strong. Tangible equity per share of $29.20 as of June 30 grew 3% linked quarter and grew by 17% year-over-year. Our regulatory capital ratios increased by 23 to 47 basis points year-to-date. East West Board of Directors has declared third quarter 2019 dividend for the company's common stock. The common stock cash dividend of $0.275 is payable on August 15, 2019 to stockholders of record on August 1, 2019. And with that, I will move on to reviewing our 2019 outlook on slide 14. Our outlook covers results for the full year of 2019 compared to our full year 2018 results. In light of the current forward interest rate curve, we have updated our net interest income growth and net interest margin expectations. We now assume two cuts to the fed funds rate of 25 basis points each at the end of July and the end of October 2019. Accordingly, we now expect our adjusted net interest margin, excluding the impact of discount accretion, to range between 3.60% and 3.70% compared to 3.75% to 3.80% previously. The anticipated impact of accretion income is unchanged at two basis points to the net interest margin. Achieving the high or low end of the net interest margin outlook will depend on our ability to reduce deposit cost, particularly for exception price deposits in response to interest rate movement. This will be a function of active deposit pricing strategy, but also how market competitors price deposits. Overall, in advance of the anticipated rate cuts, we are seeing less pressure from customers for higher rate and requests for exception price deposits. We currently estimate that a 25 basis point fed funds cut would reduce our net interest income by approximately 1.5% to 2% using a static shock analysis but we will be able to offset that through organic balance sheet growth. With the decrease in NIM outlook due to interest rates, we now expect net interest income, excluding discount accretion, to grow at a high single digit percentage rate, compared to a growth rate of low double digits previously. The rest of the items of our outlook are unchanged, including non-interest expense, provision for credit losses and the full year tax rate and detailed out in the slide. With that, I will now turn the call back to Dominic for closing remarks.
Dominic Ng: Thank you, Irene. We are pleased with the solid results of the second quarter and look forward to continued strong performance in the second half of the year. And also with that, I would now open up the call to questions. Operator?
Operator: [Operator Instructions]. Our first question today comes from Jared Shaw of Wells Fargo Securities. Please proceed.
Jared Shaw: Hi. Good morning.
Irene Oh: Good morning Jared.
Jared Shaw: Maybe starting with on the deposit side with the strong growth in the DDA balances. Is that promotion still going on? And I guess, as we look out over the rest of the year, how much more growth could you see from that?
Dominic Ng: Yes. That promotion is still going on. We started like in early March. And in fact, it was planning to be a few months but we are extending it to the end of August. And we will continue to assess, if it continues to grow really well and then there is leg to it, then we will continue to do more.
Jared Shaw: Okay. And so, if we see increased concentration there, that could be a potential offset to some of the margin pressure?
Dominic Ng: We are hoping going to that direction because the most important thing that we do, this business solution campaign is to really bring in more small business customers. It wasn't really the intent to just as an offset against you know the deposit -- in terms of interest-bearing deposit. Quite frankly, it is helpful. But our plan in the second half of the year is to really continue to proactively manage interest-bearing deposit rate, trying to scale it down knowing that there will be anticipation of Fed fund rate cut. And I feel that our frontline branch managers and branch staff and also our lending officers and relationship managers, et cetera, they very much understand that with this kind of like future interest rate direction, there is high likelihood that rate is going to come down and therefore they are going to be working hard to ensure that we will work accordingly to get that rate in the appropriate level. But in the meantime, what I like about the small business deposit campaign is that we have already brought in over 2,000 customers that these are the customers that I think that have a higher likelihood to grow and in the long run will be sort of very important core customers for our branches in terms of having these non-interest-bearing checking account customers, not only because of the rate, which is zero, but more importantly, they will be the kind of customers that can help us to get more referrals and then we can also get personal banking and wealth management banking, et cetera.
Jared Shaw: I guess what's driving such a strong response? Obviously, that's really great growth in an environment that's difficult to find the DDA growth. Is it more the full relationship opportunity or is it just the sales effort on the part of East West?
Dominic Ng: I think it's a combination of several of those. One is that we bundle you know our cash management products and then also merchant card services with this online banking account. We make it very easy for these customers to sign up. And on top of that, our managers in different regions have done a really, really good job in terms of targeting these small business customers. And I think that I will account most of this success coming from a very, very laser strategic focus in terms of what are the demographics that most likely will resonate to this product package that we have and then we start going out there knocking on doors and visiting them and provide the type of suite of product services that we can provide to these customers, which result in the kind of numbers that we have today. So, I think that mostly it's coming from a well-planned strategic focus in terms of targeting the right type of prospective clients and also good execution because our branch staff are extremely well trained in terms of able to articulate and explain why our product mix is more superior to what the community banks or some of the other money center banks that these folks are banking with and somehow that we got a lot more win than we originally anticipated.
Jared Shaw: Great. Thanks very much.
Operator: Our next question comes from Ebrahim Poonawala of Bank of New York Merrill Lynch. Please proceed.
Ebrahim Poonawala: Good morning. I was wondering, Dominic, if you could talk about the commercial loan growth. So it looks relatively healthy. I think we are in a period where there is some skepticism around loan growth generally given sort of late cycle concerns. So, I would love to get your thoughts around where growth is coming, both C&I and CRE side, and why you feel okay from a credit perspective on bringing these on at this pace at this currently?
Dominic Ng: Well, as you have seen in our earnings release that the loan growth is coming from pretty well diversified categories. CRE, single-family mortgages, C&I, all have decent growth. And it is just one of those East West way of making sure that we do not have any over concentrated growth in one particular category. And so, when I look at it in terms of your view of late cycle, I think that maybe for any particular specific category or industry may have some of these concerns, but if we look at our single-family mortgages, you know, we have always been very, very focused in doing single-family mortgage origination at very low loan-to-value, and the commercial real estate also at lower loan-to-value than most of the peer banks in the country. So we feel pretty good about where we are today, the loans that we make. So despite the fact that, for example, you can look at some of the real estate prices, there is that concern about maybe there is not that much upside. But when we are making single-family mortgage at about 50%, 60% loan-to-value, yes, that our borrower may not have much upside of appreciation. But then clearly as a lender, being East West Bank, we also don't have any downside. So we feel pretty comfortable about these loans that are we making today.
Ebrahim Poonawala: Got it. And it seems like there is a possibility that the China-U.S. trade negotiation may get drawn out. It doesn't look like, to-date, from where I see there has been any material impact to your business. And I realize it is hard to sort of provide clarity on this, but as you think about, if trade negotiations get stretched out, do you, based on everything that you have seen so far, anticipate any impact, either from a growth standpoint or credit standpoint?
Dominic Ng: At this point, we feel pretty confident about with our guidance and our view is that East West works under many different scenarios. We have a very healthy, well diversified balance sheet. If any one particular category ends up slowing down because of some external environment circumstances, the other engine start going stronger and sort of help balance it out. I think if you look at the last 12 months, this sort of tariff rhetoric and discussion in terms of media headlines, this has been going on for quite some time now and we continue to be able to put out these numbers because we have multiple engines that we can get going. And this quarter is a good testament because if you looked at all different categories, from C&I, CRE, single-family, it's all going wrong. So we feel pretty good that we will be able to continue to put out the kind of the financial performance that we expected. And more importantly, again, I think we need to understand that East West, in terms of our balance sheet, in terms of our size, we are substantially, while we are very, very small compared with these overall GDP between U.S. and China. So there are plenty of business for us to get with or without tariffs. We are so minute in that universe and there are so much more that we can go after and even if that economy or that pie slowing down by 30%, 40%, it's still a massive universe for us to do business. I think the most important thing is that we always worked on making sure we have better knowledge, longer expertise than the other banks in terms of understanding the space. As long as we have that better knowledge and better expertise, we always know how to navigate under whatever circumstances. So with tariff, there is one paradigm, without tariff, there is another direction. So as I said in my remarks earlier, this new normal of U.S.-China will be a little more competitive, a little bit more contentious. But on the other hand, that doesn't mean they are not doing business. As I mentioned earlier, China actually have put into law of welcoming foreign direct investments in financial services, which include insurance, asset management, banking, et cetera and also allow U.S. companies to have over 50% or maybe eventually 100% ownership in automobile industries and many other industries. The business or the industry that are not allowed to invest in China that they call the negative lift, used to be like 400 to 500 industries that are forbidden to be in China has now shrunken down to only 48. So all of those information that you look at and in addition to the intellectual property protection law that they protection law that they start sort of like putting in and strengthen it and all of those actually are providing an environment for foreign investment to gain more confidence to be investing in China. Now granted, while there is a lot of political rhetoric's that is going on back and forth, the reality is that gradual changes are being made. So in the long run, there are still going to be plenty of opportunity for East West to provide advisory services to our customers to help them from U.S. to look into opportunity in China and also vice versa. And the other thing, don't forget, is that East West has a very, very strong retail banking business that mainly are focusing on the Asian American population in United States and that really doesn't have a lot to do with cross-border business. As you can see in the last quarter, it is the retail branches that step up and knocking on doors for small business owners, which result in a substantial growth in our DDA balances. So we have got plenty of engines to work on. So that's what we feel pretty good about our prospect in the next six months and also 2020. And in addition to that, I think that we will continue to focus on diversification of our loan portfolio and making sure that we would never get ourselves caught in a situation that we have over-concentration in any particular categories which result in undue risk.
Ebrahim Poonawala: Got it. Thanks for taking my questions.
Operator: Our next question comes from Brock Vandervliet of UBS. Please proceed.
Brock Vandervliet: Great. Thanks for taking my question. Just a kind of follow-up on that other one. I can see from the guide and 10% loan growth that speaks to the diversification. So I understand that. Just drilling down more on the bridge banking and C&I, C&I year-over-year growth was well in the double digit range, not so much just sequentially. Are you seeing some evidences of slowing or more tentative behavior among the Chinese clients in the bridge banking business now?
Irene Oh: Yes. I think honestly, Brock, some of our numbers, if you look at it year-to-date and year-over-year, we did start off a little bit slow in the first quarter. So if you look at quarter-over-quarter and that growth rate, may be that's a little bit more normalized level. We are not seeing anything, I think, systemic and also the first quarter, honestly, we got off to a slow start of the year.
Brock Vandervliet: Okay. And skipping over to fees, you noted the IRC fee pickup and gearing to this current shape of the curve. Is that sustainable here?
Irene Oh: Yes. That's a great question. Obviously, what the levels, the volumes and the number of transactions that we entered into with our clients, that's a function of the shape of the curve and how attractive the rates were. We do expect with where things stand right now that we will continue to have good fee income from our derivates teams. I think I will also add, probably realistically not the levels and the revenue levels in the second quarter but still at a good pace. I would also add that over the course of the last couple of years here, we have expanded our capabilities, the offerings as well, expanding to energy derivatives. We are also helping more of our C&I customers swap their interest rate risk as well. So we are confident that this continues to be a strong line of business for us.
Brock Vandervliet: Got it. Thank you. I appreciate the color.
Operator: The next question comes from Ken Zerbe of Morgan Stanley. Please proceed.
Ken Zerbe: Great. Thanks.
Irene Oh: Good morning Ken.
Ken Zerbe: Good morning. I guess maybe just going back to that loan growth question. I was kind of thinking the same thing. Obviously you did get off to a slightly slower start. But when you think that the loan categories like, which is the category that you feel most comfortable that's going to accelerate in back half of 2019 to reach your 10% target?
Dominic Ng: I think the single-family mortgages will probably can continue to sustain and grow a little bit more in the second half know.
Irene Oh: And also C&I as well, right. All categories.
Dominic Ng: Yes. So C&I usually, there is seasonality. We have always come out much stronger in the fourth quarter. So in the third quarter, it may not be coming as strong. But I think that the likelihood of coming strong in the fourth quarter is much higher. It's just that's been last few years at East West Bank, we always have that fourth quarter strong result because of the seasonality.
Ken Zerbe: Got you. Okay. And then switching gears, in terms of the tax credit amortization, I think it was down a little bit this quarter. Can you guys provide any guidance in terms of where that might be for next couple quarters, especially given the whole DC Solar thing?
Irene Oh: Yes. So we don't really at this point in time expect any more impact from DC Solar. I will also add the results for the second quarter, we did have some equity pickup. It's a small amount. So that offset the amortization in that line item a couple of million or so. But if we look at the rest of the year, ballpark what we are looking at is a little bit lower in the third quarter. We are showing $70 million in the third quarter and $23 million in the fourth quarter. So you can plug that in.
Ken Zerbe: Got you. Perfect. And then just really if I can sneak in one last question, just in terms of the tax credits. I mean I understand DC Solar was a very unusual one-off kind of issue. But when you think about the negative impact that DC Solar had on your tax credit income, kind of all-in, how does that compare to sort of the benefit that you have received over the last several years? I can't imagine it would offset all the benefit, but just trying to get a sense of the magnitude?
Irene Oh: The benefit, I think, to our bottomline from our tax credit investment strategy was the impact of DC Solar, Ken.
Ken Zerbe: Okay. All right. Thank you very much.
Operator: The next question comes from Aaron Deer of Sandler O'Neill & Partners. Please proceed.
Aaron Deer: Hi. Good morning everyone.
Irene Oh: Good morning.
Aaron Deer: Just thinking about the them of the loan growth, I want to dig in just a little bit on the C&I growth. My guess is that some of the strength that you had this quarter came again from your syndication team. Given some of the scrutiny that we are seeing amongst syndicated credits, particularly in the higher leverage categories, can you talk about the types of credits that you are adding from that group? And what kind of underwriting that you are employing with those?
Irene Oh: Yes. So our syndications team and the loans that we have there, as a percent of our C&I book, as a percent of our loan book is relatively at the same page. We are slightly under 3% of our total loan book. What we try to maintain there is a high credit quality and diverse portfolio and we also maintain really a strict discipline as far as looking at the industries, the sectors, pricing to see if we want to sell even at a small loss. So we are pretty comfortable of that as far as the discipline that we have. Of course, the underwriting and the profit is the same as every other loan that we have in books as well.
Aaron Deer: Okay. And then the on the deposit side, it sounds like you are pretty confident that you will be able to bring some deposit cost down here. Can you talk about over the next couple of quarters, what volume of CDs you have expecting for a renewal? And where you think the offered or renewal rates might be in those relative to what the maturity rate are?
Irene Oh: Sure. So when we look at our levers for deposit repricing, it really does come, as you say, from some of our CDs that are maturing and then also we had discussed in the prepared remarks also some of our exception priced money market accounts. So as we look over the course of the next six months, next three months, we have $2.5 billion of CDs maturing. The weighted average coupon on those, rate on those is 1.97%, approximately 25% of our total CD book. And I think when we look at that honestly, there is a fair portion of those where we think we can price that down. Over the course also on the next three months after that in the fourth quarter, we have a similar level of CDs that are maturing at a slightly higher cost.
Aaron Deer: Okay. Great. Thanks for taking my questions.
Operator: Our next question comes from Michael Young of SunTrust. Please proceed.
Michael Young: Hi. Thanks for the question. I just wanted to touch on, Irene, the overall ALCO strategy and where we are moving. Obviously, we have seen the higher preponderance of fixed rate originations. You talked about some of the CD repricing. But are there any other levers that are being pulled or the things you have in mind as we move forward in particular? So like FHLB borrowings up a little bit? So if you could just talk about some of those pieces?
Irene Oh: Yes. So from a balance sheet perspective, we are asset sensitive. What we have done, as I mentioned in the prepared remarks, is look and to see how we can organically kind of pivot that asset sensitivity into asset classes what we are comfortable risk relative to return and the shape of the curve where we are getting paid enough for taking on that extension. So for us, because we have products such as the single-family loan origination engine that we have, there is a little bit less competition. We can offer a fair rate for our customers but get a little bit more pricing. So thinks like that, I think, makes sense for us. Honestly, with the shape of the curve, going out long right now for CRE is a little bit challenging. We are slowly doing that for smaller balance customers but not in an expansive way. On the overall funding side, one of the actions that we did take in the second quarter was looking and pivoting to lower cost funding and that was some of the reasons why we went with the FHLB borrowing.
Michael Young: Okay. Great. And maybe just bigger picture, this might be a question for Dominic. But you have been pretty vocal in the past about your ability to bring down the expense base if needed, if revenue kind of is a little more challenged. Obviously, this kind of reduced the NII guide, but maybe fees are kind of offsetting that. So you don't feel the need to pull that lever yet. Is that the right way to think about it?
Dominic Ng: Well, yes. I mean, also if you look at our performance in the second quarter, I thought it looks pretty good. So in that standpoint, I think that not that we would not be because of revenues going strong that we would no need to manage expenses. We have never run the bank like that. We run expenses in a most prudent way that is that there are areas that we need to invest for growth in the future and we are going to have to put the money in for that purpose. And then if there are way that we can not spend too much, obviously, it is not that difficult for us to tighten the belt. And this is something that we will continue to evaluate going forward. And we are very fortunate, like I said, for the last 12 months, we continue to put out some very decent profitability. And if there is, for whatever reason, that suddenly the U.S. and the global economy slowed down dramatically, that really are not conducive for us to do too much loan origination and so forth that we need to hunker down and then lower expenses, it wouldn't be that difficult for us to obviously do the, what I call logically right thing. And that's something that we always are active managers and we will continue to actively manage our balance sheet and actively manage our business.
Michael Young: Okay. Thanks.
Operator: Our next question comes from Chris McGratty of KBW. Please proceed.
Chris McGratty: Great. Thanks for the question. Dominic, I am interested in your updated thoughts on capital management. You guys have accumulated a lot of capital and you are also growing very quickly. Can you just update us on priorities, the potential for buyback, if banks remain out of favor and maybe steps you might be taking to prepare for that? Thanks.
Dominic Ng: Well, we are always actively looking at, as I said before, for the best of shareholders interest and the buyback discussion with the Board has been sort of like become a more interesting topic for discussion. So we will continue to evaluate. What you see is that, again, we have over 17%-plus return of equity and we continue to find ways to grow loans at, as of the second quarter, 11%. So at this stage right now, we will continue to actively evaluate this potential buyback opportunity. Let's put it like that, yes.
Chris McGratty: Great. And aside from that, the other piece of the capital return tool would be inorganic growth. It wouldn't seem like that would be a necessity given the organic momentum. Is that kind of how you are thinking about inorganic growth entering the back half of the year?
Dominic Ng: Well, organic growth is what we have been doing. But obviously, we always want to have dry powder, just in case there is any acquisition opportunities out there.
Irene Oh: We are assuming that's what you referred to with the inorganic growth, Chris.
Chris McGratty: That's right.
Irene Oh: Yes. Okay.
Chris McGratty: Okay, yes.
Dominic Ng: So I mean, we are pretty open minded. There is really nothing specific that we have sort of have a religion against it. So the way that we look at it has always been higher dividend, stock buyback, acquisition, organic growth. We look at all of those different directions and make sure that whichever one is best for our shareholders and then we will put that as the first priority. And then where sometimes we can do all of them at the same time. It is all depends on the opportunities out there. So what we are trying to do is that make a logical sound decision and make sure we take care of our shareholders.
Chris McGratty: Great. And if I can slip one in on the margin before I step back. I think, Irene, you said on the prepared remarks, your deposit betas, cycle-to-date were about 37% and that really was eight or nine rate hikes. I am interested in kind of your thought beyond the CD repricing on the ability, what kind of assumed beta might you have if the fed cuts a couple times? Any thoughts there would be great.
Irene Oh: Yes. With our guidance that we have given, the assumption for the betas are really not that off from what we have had historically. We are assuming about 40% on the deposit side.
Chris McGratty: Great. Thank you.
Operator: The next question comes from Matthew Clark of Piper Jaffray. Please proceed.
Matthew Clark: Hi. Good morning.
Irene Oh: Good morning.
Matthew Clark: Just on the buyback. Have you guys sought regulatory approval yet in case you do want to authorize one?
Irene Oh: We have not but also you know with the changes, that's no longer necessary as well, Matt, as of July 9.
Dominic Ng: We don't regulatory.
Matthew Clark: Great. And then just on DC Solar, I think it was about $18 million less, I guess, of equity risk. Correct me if I am wrong. But could you just give us an update as to why you think there is no need to further reduce that exposure?
Irene Oh: Yes. So the adjustments that we are doing is really like a book to tax provision adjustment with what the tax return that we are filing in October for the 2018 year and then also for 2017, we are making adjustment as well. For tax investments that we made in the past, in the 2014 and 2015 year, at this point in time based on the information that we have, we are comfortable taking the position that we will be able to continue to receive those tax credits.
Matthew Clark: Okay. Great. Thank you.
Operator: The next question comes from Gary Tenner of D.A. Davidson. Please proceed.
Gary Tenner: Thanks. Good morning. Most of my questions have been asked, but just as it related to the small business deposit campaign, I missed some of your prepared remarks. Is effectively all of the sequential growth in DDA from that campaign or had you quantified it in your prepared remarks?
Irene Oh: We haven't quantified in our prepared remarks, but if you look quarter-over-quarter, a lot of increased did come from the campaign.
Dominic Ng: The vast majority of the DDA increase, these are very small business accounts that we open one at a time.
Gary Tenner: Okay. So when you say a campaign, I mean you are not obviously paying rate. So is it just a marketing blitz and sales campaign? Or is there some thing else going on?
Dominic Ng: Yes. Well, we give out gifts, like backpack, coolers, yoga mat. There are many choices.
Gary Tenner: Okay. So kind of old-school banking if you open a deposit. Okay. Thank you very much. That's all I wanted to know.
Operator: The next question comes from Lana Chan of Bank of Montreal Capital Markets. Please proceed.
Lana Chan: Hi. Good afternoon. I wanted to just sort of go back on funding for loan growth of 10% for this year. I think previously you had assumed that you would be able to fund most of that growth through core deposit growth. Is that still the case? Or embedded in your margin guidance, are you expecting more that could be funded by borrowings and maybe a runoff on securities?
Irene Oh: Yes. At this point in our guidance, we are not assuming that we will have more borrowings fund that loan growth. We think organically from all of the different avenues that we have and the success that are seeing, we will be able to fund that loan growth. I would add too, in Dominic's prepared remarks, we did comment about the range of the loan-to-deposit ratio that we are comfortable with and we are within that. That is also certainly something that we want to stay within but understanding that at 92% and we have a little bit of room, if we want.
Lana Chan: Okay. Thank you. I appreciate it.
Operator: Our next question comes from David Chiaverini of Wedbush Securities. Please proceed.
David Chiaverini: Hi. Thanks. A question on credit quality. So there was a nice improvement in non-performing loans this quarter coming down about $20 million. I was curious, are you seeing any negative credit migration or stress on your borrowers from the tariffs at this point?
Dominic Ng: In terms of credit quality issues, I think that we have borrowers that are having some challenges in terms of you know, everyone sort of getting a little bit concerned at the beginning, like what do we do with these tariffs? Because that uncertainty is, I guess, it drives a lot of headline news and then cause may be a lot of disruption in terms of the thought market and so forth. And the reality is that our customers, we have to find a way to figure out how to deal with this issue. I mean, as a matter of fact, we have some of our relationship managers right now in Asia touring, you know, factories in Thailand and Vietnam, because our customers are doing some of the relocation just as expected. So every single customer have a different way to deal with the tariffs and also East West are totally aware of any of the potential risk that comes from it and we manage our credit accordingly. So as of today, I think fortunately, we do not have a single dollar of loss due to tariffs.
David Chiaverini: Good to hear. Thanks very much.
Operator:
Dominic Ng: Are there any other questions, operator?
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dominic Ng, Chairman and CEO, for any closing remarks.
Dominic Ng: Thank you operator and thank you all for attending this conference and I look forward to speaking with you all in October. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.